Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Griffon Corporation Fiscal Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Brian Harris, CFO for Griffon Corporation. Thank you. You may begin.
Brian Harris: Thank you. Good morning, and welcome to Griffon Corporation’s second quarter fiscal 2025 earnings call. Joining me for this morning’s call is Ron Kramer, Griffon’s Chairman and Chief Executive Officer. Our press release was issued earlier this morning and is available on our website at www.griffon.com. Today’s call is being recorded, and the replay instructions are included in our earnings release. Our comments will include forward-looking statements about Griffon’s performance. These statements are subject to risks and uncertainties that can change as the world changes. Please see the cautionary statements in today’s press release and in our SEC filings. Finally, from today’s remarks, we’ll adjust for items that affect comparability between periods. These items are explained in our non-GAAP reconciliations included in our press release. With that, I’ll turn the call over to Rob.
Ron Kramer: Thanks, Brian. Good morning, everyone, and thanks for joining us. We’re at the halfway point of our fiscal year, and I am pleased to report that both of our segments have performed within our expectations. Our Home and Building Products segment, HBP, has maintained a better than 30% EBITDA margin through the first half, driven by steady residential performance and favorable mix. As we expected, we saw a year-over-year reduction in revenue in the quarter as our doors business returned to a seasonal cycle that is more aligned with historical pre-pandemic norms. HBP continues to assert itself as the leading garage door provider with a differentiated set of innovative product offerings that separate us from the competition. Clopay was recognized as the Best of IBS across the entire building products industry at the February 2025 NAHB International Builders Show for its groundbreaking VertiStack Avante garage door. The VertiStack door utilizes a unique patented design featuring glass panels that stack compactly above the door opening. This design eliminates the need for overhead tracks, creating a sleek aesthetic, which maximizes available space and light. We’ve received strong interest in VertiStack, and we expect this product will revolutionize how doors are incorporated into both commercial and residential projects. This is the first in what we believe is a long pipeline of future innovations that will continue to keep Clopay as the leader in both residential and commercial doors. Let’s shift to the Consumer and Professional Products segment, CPT. It continued to improve its EBITDA performance on a year-over-year basis. This is driven in large part by the transition of our U.S. operations to an asset-light business model, which has increased our flexibility and reduced our operating costs through leveraging our global sourcing capabilities. We also had solid performance in Australia, including from the contribution of the Pope acquisition, which has performed well as a part of our AMES portfolio. I know that all of you on the call are focused on the potential effects of changes in the U.S. trade policy, especially given the uncertain economic operating conditions and would like you to know how we see these factors affecting Griffon through the rest of the year. Given that our performance is on track, we’re maintaining our financial guidance for fiscal 2025. It’s important to keep in mind that approximately 85% of Griffon’s total segment EBITDA is generated by our Home and Building Products business. HBP manufactures its products domestically and sells over 95% of those products within the United States. Despite HBP’s U.S. concentration in today’s world, no business is completely insulated from changes in trade policy. However, we’re confident that we are able to manage any increased costs through pricing actions and cost reduction efforts. CPP currently represents approximately 15% of Griffon’s total segment EBITDA. It’s important to note that only a portion of CPP is impacted by the recent changes in U.S.-China-related tariff policies. We have substantial operations outside of the United States in Australia, Canada and the United Kingdom. Even within the U.S., not all of our products will be materially affected by tariffs because of where those products are sourced. We expect CPP to mitigate the inflationary effects of trade policy and other headwinds during the remainder of the fiscal year through supplier negotiations, cost management, leveraging existing inventory and when necessary, taking price actions. Turning now to capital allocation. During the second quarter, we repurchased $31 million of stock or 420,000 shares at an average of $72.64 per share. At March 31, $360 million remained under the repurchase authorization. We continue to believe our stock is a compelling value. Since April 2023 and through March, we’ve repurchased $498 million of stock or 9.9 million shares at an average price of $50.09. These repurchases have reduced Griffon’s outstanding shares by 17.4% relative to the total shares outstanding at the end of the second quarter of fiscal 2023. Yesterday, the Griffon Board authorized a regular quarterly dividend of $0.18 per share payable on June 18 to shareholders of record on May 30, marking the 55th consecutive quarterly dividend to shareholders. Our dividend has grown at an annualized compounded rate of more than 18%, since we initiated dividends in 2012. These actions reflect the strength and the resiliency of our businesses as well as our continued confidence in our strategic plan and outlook. I’ll turn it over to Brian to go through some of the financial details.
Brian Harris: Thank you, Ron. Second quarter revenue of $612 million decreased 9% and adjusted EBITDA before unallocated amounts of $133 million decreased 11%, both in comparison to the prior year quarter. EBITDA margin before unallocated amounts was 21.8%, a decrease of 40 basis points. Gross profit on a GAAP basis for the quarter was $252 million compared to $271 million in the prior year quarter. Excluding items that affect comparability from the prior year period, gross profit was $252 million in the current quarter compared to $272 million in the prior year. Normalized gross profit increased year-over-year by 80 basis points to 41.2%. Second quarter GAAP selling, general and administrative expenses were $151 million compared to $157 million for the prior year. Excluding adjusting items from both periods, SG&A expenses were $150 million or 24.5% of revenue, compared to the prior year of $153 million or 22.8% of revenue. Second quarter GAAP net income was $57 million or $1.21 per share compared to $64 million in the prior year quarter of $1.28 per share. Excluding items that affect comparability from both periods, current quarter adjusted net income was $58 million or $1.23 per share compared to the prior year of $68 million or $1.35 per share. Corporate and unallocated expenses, excluding depreciation in the quarter, were approximately $15 million, consistent with the prior year. Free cash flow during the quarter was $3 million compared to $21 million in the prior year. During the quarter, net capital expenditures were $13 million compared with $18 million for the prior year. Regarding our segment performance, as we expected, revenue for homebuilding products exhibited a seasonal decline in residential volume in the second quarter, similar to what we typically experienced during our second quarters prior to the pandemic. Revenue in the quarter of $368 million decreased from the prior year by 6%, driven by decreased volume of 7%, which was partially offset by a 1% improvement from mix. Recall that last year HBP did not see the same seasonal behavior because it benefits from certain factors, including favorable weather, which resulted in unusually strong activity. Adjusted EBITDA for HBP of $109 million decreased by 15% compared to the prior year quarter. The main drivers were decreased revenue and the related impact of that reduced revenue on overhead absorption. We also incurred increased labor and distribution costs, which were partially offset by reduced material costs. Consumer Professional Products revenue decreased 13% from the prior year quarter to $243 million due to decreased volume of 13%, driven by reduced consumer demand in North America and the United Kingdom, partially offset by increased organic volume in Australia. The Pope acquisition contributed 2% to volume in Australia. Foreign currency exchange was unfavorable by 2% for the quarter. CPP adjusted EBITDA increased by 18% from the prior year quarter to $24 million, primarily due to the positive effects from our global sourcing expansion initiative and increased volume and improved margin in Australia. This was partially offset by the unfavorable impact of reduced North American and U.K. volume. Foreign currency exchange had a 1% unfavorable impact. Regarding our balance sheet and liquidity, as of March 31, 2025, we had net debt of $1.4 billion and net debt-to-EBITDA leverage of 2.6x as calculated based on our debt covenants, compared to 2.8x leverage at the end of last year’s second quarter. Our net debt and leverage are in line with our year-end September 2024, even after returning $96 million to shareholders through dividends and stock buybacks during the first half of the year. As Ron mentioned during his comments, we are maintaining our fiscal 2025 guidance of $2.6 billion of revenue and $575 million to $600 million of segment adjusted EBITDA, which excludes unallocated costs and certain other charges that affect comparability, also free cash flow exceeding net income for the year. While the changes in U.S. trade policy are clearly top of mind for most of us, we expect the impact of tariff increases on Griffon’s EBITDA for the year to be manageable, given most of our EBITDA is generated at HBP, which manufactures and sells most of its products in the U.S. For CPP, on an annualized basis, approximately $325 million or about 1/3 of its revenue is currently affected by China-based tariffs and comprised primarily of CPP fans and lawn and garden products. For the remainder of the fiscal year, we expect CPP will be able to mitigate the impact of all tariffs through supplier negotiations, cost management, leveraging existing inventory and when necessary, taking price action. Now I’ll turn the call back over to Ron.
Ron Kramer: Thanks, Brian. Our fiscal 2025 remains on track with continued solid operating performance at HBP and continued improved profitability at CPP. As we stated before, most of our EBITDA and free cash flow is generated by Griffon businesses that are either unaffected or only modestly impacted by current tariff policy. For the balance of our business, we expect to be able to mitigate the impact of current tariff policy through supplier negotiations, cost management, leveraging existing inventory and when necessary, taking price actions. With respect to our capital allocation, we remain committed to using the strong operating performance and free cash flow of our businesses to drive a capital allocation strategy that delivers long-term value for our shareholders. This portion of our strategy includes investing in our businesses, opportunistically repurchasing shares and reducing debt. Finally, I’d like to express my appreciation to our Griffon team around the world, whose dedication and perseverance have driven our operational and financial success. Their ability to remain focused on executing our strategy, while competing in such a dynamic environment is unparalleled. I see opportunity in our future, and I’m looking forward to working with our team to build on these accomplishments. Operator, we’re ready for any questions.
Operator: Thank you. [Operator Instructions] Our first question is from Trey Grooms with Stephens.
Trey Grooms: Hey, good morning everyone.
Ron Kramer: Good morning, Trey.
Brian Harris: Good morning.
Trey Grooms: So I just want to make sure I heard the last comment correctly, Ron. I’ve gotten down here that you mentioned $325 million of CPP revenue is kind of exposed to China or Chinese tariffs. Did I get that number right?
Brian Harris: Yes, that is correct. Just so we’re clear, that’s an annualized $325 million.
Trey Grooms: Right, right, right. Okay. Good. That’s – just from my lens, that’s a much smaller number than I would have expected. So I guess kind of looking – and it’s encouraging to have you guys reiterate the guide for the full year, clearly shows the confidence there and despite kind of the challenging operating environment and the tariffs and such. But as we kind of look longer term, with that backdrop of further tariff impacts kind of going forward and maybe more of an impact on an annual basis next year, is it still reasonable to think that the longer term kind of 15% adjusted EBITDA margin target is still on the table for CPP?
Ron Kramer: Yes. There is no question that it’s on the table. The issue is going to be timing of what happens to the U.S. economy in the future. But I think you have to separate out that there is still a very strong U.S. economy that is going through a transition period as part of a purposeful negotiation to accomplish two things increased prosperity and increased security. So, let’s – remember, we have built the business over a very long period of time. Our HBP business, and we really want to come back to this 85% of our EBITDA comes from a business that’s largely unaffected by tariffs. The housing market in the United States still is many millions short in new construction, and that will come in and hit the goal of increased prosperity comes as a result of the economic policies that are currently under negotiation. So, our CPP segment at $1 billion of revenue, our target for that business is to get it to a 15% margin. We went to a global sourcing model. We continue to believe that the asset-light business model for the U.S. gives us flexibility to move manufacturing to wherever the best value proposition for price for our customers. We have the leading brands. We have design and logistic capability. So, yes, 15% for CPP, and we have a gem of a business in HBP, that’s a 30% margin that is getting mis-valued based on the combination with the consumer products business, where people are doubtful of what the impact of tariffs is going to be and what the long-term margins for this business is going to be.
Trey Grooms: Alright.
Operator: Thank you. Our next question comes from Collin Verron with Deutsche Bank.
Collin Verron: Hey good morning. Thank you for taking my questions here. I just want to dig a little bit more into the tariff impact. I understand you fully expect to mitigate the impact in fiscal year ‘25. I guess any help in quantifying what the current incremental tariff costs would look like mitigated just on an annual basis as we move beyond fiscal year ‘25? I guess I am just trying to get a sense of like what this could look like and what kind of cost actions you need to take, as we move past some of the inventory that you have – pre-tariff inventory you have on your balance sheet?
Ron Kramer: I think it’s really premature to talk about ‘26 when we are still in the middle of ‘25. The bottom line to this is very clear that we are not going to sit still as a result of tariffs and not mitigate whatever increase is going to happen in pricing. And we have multiple levers of management to be able to deal with whatever the impact of the final tariff policy turns out to be. So, speculating about what ‘26 is going to look like is really not appropriate.
Collin Verron: Understood. And I guess just maybe digging into the strategy here and how it might differ between the fan business and maybe the long-handled tool business, just given sort of the supply chain – current supply chain. Any color as to just what the – any differences in the strategy for mitigating these tariffs would be?
Brian Harris: Sure. So, we began our supply chain for the U.S. our expansion of global supply chain approximately 2 years ago and completed at the end of last fiscal year. That was mostly focused on the lawn and garden tool business. With that complete, we are now sort of in the second phase where we are now leveraging the full global supply chain where we originally went to the suppliers we already knew. We expect to have that mitigated by the end of the fiscal year. So, as we enter the next fiscal year, we will have a diversified supply chain away from China from a tariff standpoint, sorry, mitigate the tariff. On the fan business, we knew since we bought that business, we have always been looking for – or considering alternatives to where we supply because the majority of that is supplied from China. And we expect to have alternate supply in place by the end of the calendar year, really accelerating plans that we began several years ago.
Operator: Thank you for your question. Our next question comes from Bob Labick with CJS Securities.
Lee Jagoda: Hey. It’s Lee Jagoda for Bob this morning.
Ron Kramer: Hi Lee. Good morning.
Lee Jagoda: Good morning. So, starting with the CPP business, Ron, can you just talk about your market position in your various product lines in that segment and your ability to use price as a lever? And then just as a follow-up, are there products in that portfolio that can benefit from price increases on a trade down?
Ron Kramer: Yes. So, as far as price, we and our retail partners are sensitive to the impact of price on the consumer. We do play generally in the high end of tools, but still the consumers and professionals are sensitive. So, we are working on plans to mitigate significant tariff-related price increases by pivoting our supply chain away from China, as I mentioned, negotiating with our existing non-China suppliers, other cost actions that will allow us to continue to provide our customers with high-quality, affordable branded products. With that in mind, the current environment actually presents an opportunity for us to work with our customers to help them transition through this uncertain tariff environment because of our ability to transition our supply chain to lower cost.
Lee Jagoda: And then just on the fans business specifically, I know you are saying you plan to diversify some of that supply out of China. To this point, I am assuming most of the mass market fans are made in China and then shipped to the U.S. So, are you aware of – if there is any other competitors trying or looking to do the same thing that you are…?
Ron Kramer: Yes, I am not directly aware, but I assume they are. But to your point, it’s not just concentrated. From our understanding of this industry, all of the fans that are sold in the United States are being sourced out of the same area in China. And our diversification is with our existing supply partner who is looking to move factories outside for competitive and for cost reasons prior to tariffs. So, our ability to navigate the global supply chain is part of the asset-light model, and it’s part of the underlying confidence in the long-term 15% target for the business. We are already at or above that level in the fan business. We have a very profitable business in Australia, in Canada. The core of our historical margin problem was in the U.S., which is why we went to an asset-light model years ago, and we are starting to enjoy the benefit of it. We will navigate through this. And that’s just one more challenge in a business that we have been repositioning as we have now gone through financial crisis to pandemic to now tariff negotiation. It’s just part of the course of running the company and positioning it for future growth.
Operator: Thank you. Our next question is from Tim Wojs with Baird.
Tim Wojs: Hey guys. Good morning. Thanks for all the details. Maybe just on HBP, I think the business – I think Clopay, maybe as well as the industry had put through some price in March and April. I think it was something like a mid-single digit type of price increase. When you see those – I think it’s – and it’s also been kind of the first one in a couple of years. When we think about that type of price increase, what would you guys normally see as like an effective realization within that business?
Brian Harris: Yes. We generally see good realization on our price increases. We have a position in the market where we provide not only products, but a complete package of service to our customers and generally realize good effectivity from the price increase.
Tim Wojs: Okay. And did you see your competitors do the same thing?
Brian Harris: Yes, we did.
Tim Wojs: Okay. And then I guess just secondly, on HBP, we did see kind of that return to seasonality that you kind of spoke about in the fiscal second quarter. Can you just remind us of what the seasonality should now kind of look like in the back half of the year as we kind of think about revenue and EBITDA, when we kind of get back to growth and EBITDA margin expansion really in the back half in HBP.
Brian Harris: Sure. So, in general, Q4 and Q1 are our strongest quarters on the residential side of the business. Q2 is generally the seasonally lowest quarter. And from Q1 to Q2, you would see a 10% to 15% reduction in volume, and then Q3 starts to trend upwards from Q2. So, where we sit now, we are expecting even compared to our original guidance, better volume than we originally anticipated. And that likely will offset what could be some pressure from the continued slow U.S. consumer from the CPP side of the business.
Operator: Thank you. Our next question is from Julio Romero with Sidoti & Company.
Unidentified Analyst: Good morning. This is Justin on for Julio. Maybe starting on free cash flow, how do you expect the cadence of free cash flow to progress over the remaining quarters of the year? And secondly, is the full year free cash flow outlook primarily a function of net income growth?
Brian Harris: Yes. We do generally expect free cash flow to be greater than net income. We have had a good start to the year on free cash flow, and we expect the second half as usual to be good free cash flow generating period.
Unidentified Analyst: Great. Thanks. And then can you provide more detail on CPP demand trends by geography, specifically what you are seeing in North America, the UK and Australia?
Brian Harris: Sure. In North America, we are seeing continued weakness from the consumer and in demand for our CPP products generally. UK is similar, continued weak demand. And in Australia, demand has been good, both on an organic basis, and we are seeing good take on the Pope acquisition product.
Operator: [Operator Instructions] Our next question is from Jeff Stevenson with Loop Capital Markets.
Ron Kramer: Good morning Jeff.
Jeff Stevenson: Ron, thanks for taking my questions today. Are you able to build inventories ahead of the Liberation Day for products such as fans, wheelbarrows and shovels produced in China? And then correct me if I am wrong, but last time we had Chinese tariffs, residential fans were exempted. Has there been any movement on potential exemptions from the administration in areas such as fans that are predominantly manufactured in China?
Brian Harris: Sure. Yes. So, we will be leveraging inventory to help us manage through tariffs through the balance of this year. And as we mentioned, we expect to have the lawn and garden supply chain substantially diversified as we enter fiscal ‘26, and fans as – by the end of the calendar year. From an exemption standpoint, we certainly will make our case, but we have not heard any exemption details to-date.
Jeff Stevenson: Great. Thanks for that Brian. And then in residential garage doors, obviously, you guys focused primarily on the mid and higher-end market, which has remained strong. That said, is there any concern that if tariffs result in softening consumer sentiment, there could be some deceleration in the higher-end market, or do you believe that market is going to remain resilient throughout this period of uncertainty?
Brian Harris: Yes. So, from what we see through March and really through April, demand has remained healthy, and we expect it to be ahead of last year’s second half. The high-end consumer has remained resilient, and we have continued to bring products to the marketplace that consumers have wanted. And from a – people are staying in their homes and they are doing projects in their homes. And from a renovation standpoint, a garage door is relatively inexpensive and has a great ROI, give or take, 200% return every $1 and you get $2 out from value of your home. And that volume, we expect to see that volume continue.
Ron Kramer: And I will just add that we continue to believe that Clopay is the market leader that we are gaining market share, and that’s a result of both the strength of our product offering, their ability to deliver on a timely basis, the quality of the product that we manufacture and the service that we are able to provide and the housing markets in the United States are still waiting for lower interest rates to increase volume and volume of transactions will create incremental activity for repair and remodel. And the new home construction that will happen at some point in this next cycle is going to benefit us, and we are positioned to continue to innovate and bring new products and to go to compete for business. And Clopay has been an extraordinary success story over a long period of time, and we think it’s positioned for even further growth in the future.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Ron Kramer for closing remarks.
Ron Kramer: We will be working hard to deliver results and see you in August. Bye-bye.
Operator: Thank you. This concludes today’s conference. You may now disconnect your lines.